Operator: Good morning ladies and gentlemen. Welcome to the North American Construction Group Conference Call regarding the First Quarter ended March 31, 2024. At this time, all participants are in a listen-only mode. Following management's prepared remarks, there will be an opportunity for analysts, shareholders and bondholders to ask questions. The media may monitor this call in a listen-only mode. They are free to quote any member of management but they are asked not to quote remarks from any other participant without the participant's permission. The company wishes to confirm that today's comments contain forward-looking information and that actual results could differ materially from conclusions, forecasts or projections contained in the forward-looking information. Certain material factors or assumptions were applied in drawing conclusions or in making forecasts or projections that are reflected in the forward-looking information. Additional information about those material factors is contained in the company's most recent management's discussion and analysis which is available on SEDAR and EDGAR as well as on the company's website at nacg.ca. I will now turn the conference over to Joe Lambert, President and CEO.
Joe Lambert: Thanks, Enrico. Good morning, everyone and thank you for joining our call today. I'm going to start with a few slides showing our Q1 operational performance before handing it over to Jason for the financial overview and then I will conclude with our 2024 operational priorities, bid pipeline, backlog, outlook for 2024 and finish up with our capital allocation plans before taking your questions. On Slide 3, our Q1 safety performance remains well below our industry-leading target frequency of 0.5 and we have reduced our lifesaving rules violations by 50% from Q1 last year. These statistics now include our Australian incidents and work hours. We currently are focusing our safety efforts on frontline leadership training, improving our peer-to-peer recognition program and increasing leadership visibility in the field. On Slide 4, we highlight some of the major achievements of Q1. Our recently acquired Australian business continues to deliver strong and consistent results even after some heavy rain impacted summer months and the backlog down under increased significantly with the award of a $500 million 5-year contract extension with our long-term metallurgical coal producing client. With our integration team now resident and our Australian bid pipeline showing continued strong demand, we remain confident that the Australian market will play a dominant role in maximizing our fleet utilization and return on assets. The first equipment transfers to Australia have reached their store and we're excited about the long-term opportunities we see in the Australian market. Our Fargo-Moorhead flood diversion project smoothly ramped up in Q1 in advance of its first big summer construction season and we remain confident in our overall project plan. Our telematics system continues to provide maintenance savings, achieving a record quarterly saving of almost $2 million in Q1 and we're evaluating some Australian assets for an initial rollout of telematics in Q3. And last but not least, we were awarded a 3-year contract in oil sands which generated about $225 million in 2024 backlog. On Slide 5, we show fleet utilization by region. Australian utilization remains strong with Q1 ending on a March high note after a few high rainfall impacted summer months. In Canada, our utilization suffered from mobilization fleets between oil sand sites in February and lower volumes of winter reclamation work. We remain on trend and confident in our ability to hit our Canadian target range of over 75% by the end of this year and we'll also be looking to similarly increase our Australian fleet to over 85% during the same period. I'm sure some may believe our Canadian utilization targets are stretched after coming off that February low. However, if you consider the units we expect to transfer and some sales of smaller assets, combined with improving mechanical availability and no further anticipated fleet mobilizations, our math still suggests we are capable of exceeding our target before year-end. With that, I'll hand over to Jason for the Q1 financials.
Jason Veenstra: Thanks, Joe. Good morning, everyone. Getting right into it and starting on Slide 7. The headline EBITDA number of $93 million and a correlated 27% margin were driven by a successful second quarter from Australia since the change of control on October 1, 2023. Our margin in particular, along with the combined gross profit margin of 18% illustrates a strong operational quarter. All business units contributed to this margin with the exception of Nuna which posted EBITDA margin of less than 10% in the quarter when factoring out the onetime costs that were incurred as part of the restructuring during the quarter. The EBITDA margin illustrates project execution risk in the joint venture and is a metric indicative of why a change was needed. Restructuring efforts were completed during the quarter and the projects in Northern BC and the Northwest territories were finalized. Restructuring expenses incurred and added back for adjusted earnings purposes related to severance costs and onetime expenses required to complete legacy projects. Moving to Slide 8 and our combined revenue and gross profit. As we will have for 2 more quarters, MacKellar provided a step change in the quarter-over-quarter variance. On a total basis, we were up $53 million quarter-over-quarter. MacKellar and DGI which we combine in Australia in our results were up $128 million, almost identical to the Q4 variance which could have been higher if the rainfall in January and February have been less severe. This rainfall impact can be seen in Australia's equipment utilization which got back to 80% in March after being in the mid-70s for the first 2 months of the year. This positive variance was offset by the lower equipment utilization in the oil sands region. Our share of revenue generated in the quarter by joint ventures was a net $29 million lower than Q1 2023. The Fargo-Moorhead project had a steady operational quarter, was up $10 million and achieved project metrics and milestones required of the project schedule. More than offsetting this positive though, was the variance impact of the completion of the construction project at the gold mine in Northern Ontario in Q3 2023 which led to lower quarter-over-quarter revenues within the Nuna Group of companies. Combined gross profit margin of 18% despite another challenging quarter posted by Nuna reflects the strength of a diversified business. Gross profit margins benefited both from the operations in Australia which were higher than 20% in the quarter and is normal course. And from Northern whose fleet lowers our internal costs as well as generate strong margins from services provided to external customers. Moving to Slide 9. Record Q1 adjusted EBITDA was consistent with and reflective of the revenue commentary. The 27% margin we achieved reflects an effective operating quarter and with the positive 2023 trend from the Q4 and Q3 margins of 25% and 22%, respectively, is indicative of where we see our business trending and operating adds. Included in EBITDA, General and administrative expenses were $11.1 million in the quarter, equivalent to 3.8% of revenue which remained under the 4% threshold we've set for ourselves. Going from EBITDA to EBIT, we expensed depreciation equivalent to 14% of combined revenue which reflected the depreciation rate of our entire business, including the equipment fleet at the Fargo-Moorhead project. When looking at just the wholly owned entities and our heavy equipment in Canada and Australia, the depreciation percentage for the quarter was 14.8% of revenue and reflected the addition of the Australian fleet as well as first quarter operations in the oil sands which require higher idle time due to the cold weather. Adjusted earnings per share for the quarter of $0.78 was $0.18 down from Q1 2023 as the impacts of higher interest are factored in. The average interest rate for Q1 was over 9% in the quarter, the highest rate we've paid in a long time and remains a compelling indicator for us as we look to pay down debt in the back half of 2024. Moving to Slide 10. I Net cash provided by operations prior to working capital was $74 million and generated by the business, reflecting EBITDA performance net of cash interest paid. Free cash flow usage of $36 million was driven by the $62 million draw on working capital accounts and $60 million spent on our front-loaded sustaining capital maintenance and replacement programs. Moving to Slide 11. Our PPE of $1.2 billion is up $470 million from the pre-MacKellar September 30, 2023 balance on the $430 million worth of assets we purchased in 2023 and $20 million of gross assets purchased this quarter in Queensland and Western Australia. Net debt levels ended the quarter at $781 million, an increase of $58 million in the quarter due to the $36 million of free cash flow usage as well as the investment in growth assets. Net debt and senior secured debt leverage ended at 2.0x and 1.6x, respectively and are considered reasonable levels 6 months after a transformative fully debt funded acquisition. With that, I'll pass the call back to Joe.
Joe Lambert: Thanks, Jason. Looking at Slide 13. This slide summarizes our priorities for the year. This slide is unchanged, so I'll just hit the high points. The MacKellar integration continues to progress smoothly. As I mentioned in my letter to shareholders, we are thrilled with the Australian market in general and see great opportunities for growth and continued efficiency improvements with our stronger systems and processes in place. Under the second point, we highlight our ongoing efforts to win strategic projects for our business. As we look to sustain and grow our infrastructure business, we will need to win the infrastructure work and with a strong potential U.S. infrastructure in the bid pipeline, we have initiated a partnership with a known international construction company and set this year's priority to qualify on one major infrastructure project. The second part of this priority is when a meaningful project that uses our smaller mining assets that are currently underutilized in our oil sands business. We have several active tenders that would utilize these smaller assets and we expect to win one of these projects this year. Item 3 prioritizes continued expansion of our operational and maintenance expertise. We will prioritize new technologies such as our telematics system and continued in-house and vertically integrate our maintenance services and supply, including near-term focus on identifying and sharing best practices between our Canadian and Australian businesses. We believe this prioritization and focus will continue to lower cost and improve equipment utilization, resulting in increased competitiveness and likelihood of winning the tenders mentioned in the previous item 2. The final area prioritizes returning Nuna backed operational excellence and setting it up for growth and consistent performance. This work commenced earlier this year and I'm confident the changes made that Nuna will be back on its feet in time for their big summer projects and growing off a much stronger and stable foundation before the end of the year. Moving on to Slide 14. Our bid pipeline has grown significantly with over $500 million in additional projects under tender. While we anticipate strong demand in oil sands to continue for many years, the diversified opportunities in Australia and the strong demand for heavy equipment also present avenues for further diversification and improved return on assets. There's a handful of these bids that are integral to our business. 2 projects in oil sands consisting of -- one consisting of typical summer civil works that should be awarded imminently and a big stream diversion project which we expect to submit in Q2 with award in late Q3, are important projects for improving near-term utilization on our smaller mining assets. Longer-term opportunities to fully utilize these smaller mining assets have been tendered in multiyear projects in the Quebec iron ore mine and a South Australian magnetite mine. Our larger mining assets which remain in high demand and utilization but are in general uncommitted beyond 2024 have been tendered into opportunities for 5-year commitments in New South Wales and Queensland coal operations. We are excited about these opportunities and a couple of wins would provide meaningful insight and stability into our projections for 2024 and beyond. On Slide 15, our backlog stands at $3 billion. This includes the recent award of a major metallurgical coal mine in Queensland and the regional oil sands contract balanced by our typical quarterly drawdown from executed work. This backlog enhances our confidence and predictability, particularly in our Australian operations. Slide 16 reiterates our outlook for 2024 and is unchanged from our last presentation in March. Lastly, Slide 17 focuses on capital allocation. We continued our interest rate. We expect to use our projected free cash flow of $160 million to $185 million for deleveraging while maintaining an open mind for more favorable risk return opportunities that may arise. We continually analyze all options to ensure that our capital allocation decisions are both opportunistic and aligned with our long-term strategic goals. With that, I'll open up for any questions you may have.
Operator: Thank you. question. [Operator Instructions] Your first question comes from the line of Tim Monachello from ATB Capital Markets.
Tim Monachello: I just wanted to touch on the commentary on transferring assets and potentially selling some of the underutilized ones. Can you say how many assets you would view as structurally underutilized in the Canadian market that might be up for transfer or sale?
Joe Lambert: We'd be looking about 100 of them, Tim. Some of them that aren't committed into next year and some of them that aren't being used right now. So there's some smaller ones we expect to get engaged in this summer work, like I mentioned and we see opportunities next year in a few different areas. So those kind of 5 major projects that are under tender now we think would get the utilization of that fleet if we want a couple of those into the high ranges we expect to be in. But it's about 100 units. I'd say, more weighted towards the smaller end of the fleet. So there's -- it's disproportionate to where the smaller units are a bigger chunk of that $100.
Tim Monachello: Okay. And would that -- that wouldn't include the 20 that you already transferred or are currently transferring?
Joe Lambert: Yes, that would be part of it.
Tim Monachello: Are additional units that you're looking at?
Joe Lambert: Yes, we expect the ones we sent we'll actually get some utilization in late Q3.
Tim Monachello: Yes. Great. I was encouraged to see that those were going to work with contract -- are those going -- are those going to existing sites or new sites in Australia.
Joe Lambert: They're pretty much supporting existing sites. There were just opportunities. They're not all going one spot. There are 3 here 4 there, where there was opportunities where we didn't have fleet either Western Plan or MacKellar.
Tim Monachello: Okay. And could you -- I mean, put some bookends around like what the net asset value of those definitely would be like the stuff that you view as underutilized.
Joe Lambert: I don't have that off hand,. I can probably get that for you later. Yes. We're looking at the number of your -- the net asset value just depends on which units we pick and it can vary dramatically between 2 different units of the same fleet based on what value is left in the component life of those assets. So 200-ton trucks can vary by -- can differ by twice as much on what the net asset value is based on what components are in it.
Tim Monachello: Right. Okay. That makes sense. And then in Canada, obviously some weak utilization in Q1 but some optimism around growing utilization through the rest of the year. Curious if you could comment on how utilization for the Canadian fleet exited Q1 and is trending in Q2?
Joe Lambert: Well, it was definitely at a low in February when we're moving fleet around and then started picking up in March. And yes, we expect that to continue through Q2 and we expect to achieve that 75% by the end of the year.
Tim Monachello: Okay. And then big working capital build in the quarter, Jason, curious, can you talk a little bit about what the drivers of that were and how you see that playing over the rest of the year should that unwind?
Jason Veenstra: Yes. We do expect it to unwind. It was primarily in Canada with a really busy March. We booked some pretty sizable accounts receivable in the month and collected that in April. So we expect that to work itself out. MacKellar had the same thing, although not as big a working -- or an accounts receivable build in March but they had a bigger March than January and February and billed accounts receivable as well. So yes, expect it to unwind and hope for 2023, working capital full year was kind of neutral and we kind of expect that for 2024 as well. It won't all unwind in Q2 but expect it to unwind over the 9 months.
Operator: Your next question comes from the line of Aaron MacNeil of TD Cowen.
Aaron MacNeil: Joe, I know you mentioned the bid opportunities for smaller mining assets but it looks like some of the bigger bid opportunities in your pipeline don't occur until 2025? I know it's early but as we think about 2025, what do you see as the big puts and takes year-over-year? Like does it look a lot like '24 with maybe the benefit of some fleet reallocation? Or are there other major factors that we should be thinking about?
Joe Lambert: I think those opportunities in fleet allocations are not just improve utilization but -- and it's just inherent that you get more opportunities to put more hours on equipment in Australia just because of the weather and the way the projects are set up. So we do think there's upside in not just getting park assets moving but getting long-term commitments for stuff that was uncommitted in 2025 that may be highly utilized now. I have looked at what the net impact of that would be top line. I think we've always expected kind of a 5% annual kind of improvement rate. I have embedded that with these actual numbers. There are some big projects. The coal ones I was talking about in Australia, we're in the magnetite, they're $300 million, $400 million jobs. And we would look at those, say, 30 or so of our 100 assets going to any one of those projects for opportunities where we can that use under equipment to work. I mean it won't be the entire fleet and there'll probably be some ads in here and there for growth capital for matching shovels or things like that. But we see it as a great opportunity to meet that growth curve.
Aaron MacNeil: So the 30% you just mentioned, would that be incremental over and above the $20 million that you've already sent over there?
Joe Lambert: Yes.
Aaron MacNeil: Got it. And then for the balance, I guess, $20 million plus $30 million, minus 150 remainder, like where do you think the most likely end markets for those sort of remaining $50 you had to guess?
Joe Lambert: I would say we place half of them into summer works in oil sands this year and possibly into iron ore or Australian magnetite next year. And I think the remaining, say, 20-odd units are likely ones that we would look at selling as is or rebuilding and selling. I do think there's some opportunities for our maintenance team to value-add to those and rebuild and we're evaluating those markets right now. It wouldn't be a huge dollar amount. I'd say -- I think I said something like $20 million.
Operator: Your next question comes from the line of Jacob Bout of CIBC.
Jacob Bout: Joe and Jason, this is a problem on for Jason. So looking at Slide 5 targets of fleet utilization of about 85% in Australia and 75% in Canada. So you touched a bit about this in the prepared remarks but what would you say are the biggest factors that would help you base those targets?
Jason Veenstra: I think the biggest factor is within our own control and it's maintaining our high level of maintenance support for the fleet. So keeping that fleet operational when the demand is there. And then secondary, it's getting these underutilized fleets put to work in winning those couple of bids, I said, -- but you got to -- it's maintaining the fleet and even if demand there if you can't have mechanical availability to keep it running, you won't get the utilization. So the biggest part of this is always within our control and it's why we continue to push our maintenance team to continue improving and to continue their strong performance. And then the rest of it is bucketing these assets placed where we think they've got long-term opportunities to continue to improve on utilization.
Jacob Bout: Right. That's helpful. And then maybe just a question on Nuna. So you mentioned that restructuring was effectively done in Q1 and you've brought a new leadership. I would appreciate if you could talk a bit more about the steps that have been taken there? And do you still see margins at Nuna now getting back to normalized levels by the summer?
Joe Lambert: Starting from the end, yes. And the stuff we've taken really to be bring in a lot more of the stronger project controls and processes, especially around contract administration and change management and just tune up those processes and get them up to North American standards. And I believe we've been able to -- we've got guys in there and are extremely strong performers in these areas and I'm very confident in that. And then I think there's some upside in continuing to look at how we can build synergies and the bench strength between our 2 offices because we're both right here in Edmonton.
Operator: Your next question comes from the line of Maxim Sytchev of National Bank Financial.
Maxim Sytchev: Joe, I was wondering if you don't mind maybe expanding a little bit on MacKellar. Obviously, very strong contribution from those assets in the first 2 quarters. But curious to see around sort of the integration, how that's been going, ERP thoughts and more importantly, how that will impact potential profitability, some asset utilization on a going forward basis? And maybe anything that you can mention in terms of the infrastructure opportunities in Australia. So yes, it was sort of -- if you don't mind talking about this, it would be helpful.
Joe Lambert: Yes. I guess I'll start with the infrastructure. We're still early days there. I don't have a lot of projects by name. We're really just in that research and setting up teams, I guess -- and so it's pretty early days on that and I expect more towards the end of Q2, Q3, we'd have better information on that. The ERP system rollout has gone smoothly. We're expecting Q3 rollout of that. I do think there's -- I think we're -- there's huge opportunities for us to gain on efficiencies. It's very hard to put a number to that. But I know that when you get stronger inventory control systems and stronger work order systems and your maintenance, there is an inherent improvement in your efficiencies just because you just know a lot more about your equipment, you know a lot more about your parts. And I think we're going to see gains there. I just -- I doubt we'll be able to measure them because you're measuring against something that you don't know exists right now. But we've done this before. We've done it here. We've done it at Nuna and we always identify things after the fact that we -- there were improvements that we didn't even know were there. And there continued opportunities and for growth are extremely strong across really all commodity markets, I'd say, except for maybe nickel and possibly lithium, that's really been the only downside in the Australian markets. The iron ore, the gold, all the coal from PCI metallurgical to thermal, extremely strong market and blue chip clients that are willing to look at 5-year terms which is great when we're dealing with the assets of these sides. So anything that I didn't cover off there, Max?
Maxim Sytchev: No. And just maybe building a little bit on sort of the opportunity on the commodity side of things because you have extended one of your major contracts in Australia. I'm just wondering if there's any other ones that are on sort of kind of rolling forward basis that need to be renewed. Yes.
Joe Lambert: I don't think there's anything coming up within this year. I don't know if that slide in the back, I don't have it memorized but I don't think there's any near-term items that need renewal. I think there's next year and after that, there's some. And most of these mines MacKellar has been on for decades. So I think the risk of renewals is very low, especially in the major ones they're on, where they're the only supplier of equipment on -- and the 2 major coal mines, the on thermal and met. So -- and everything I've heard and I've seen is we've had extremely positive client relationships. And I think with improved systems and performance down there, that's just going to get better.
Maxim Sytchev: Right. Absolutely. Okay. And then maybe just one follow-up for Jason, if I may. So again, like a lot of things on teller side of things are being tightened up right now. How should we think maybe around, I don't know, sort of EBITDA or free cash flow conversion from those assets kind of like before and after, if you don't mind, maybe talking directionally, how should be thinking about this?
Jason Veenstra: Yes. We've been talking in kind of the -- on the margin side with the new ERP and tightening things up in the kind of 1% to 2% to 3% range, Max, we're not looking for step change in their margin profile. They're well over 30% as an EBITDA margin and very strong in their kind of cost culture and operational excellence. So we don't expect a step change there as far as margin. And -- and yes, you'll see their sustaining capital in the quarter came in kind of in the $15 million range. And so yes, their free cash flow conversion is probably 10% to 15% higher than ours on a full year basis. We have a front-loaded capital program as opposed to them. But the run rate they've established here in the first 6 months, we see as being indicative, we're not expecting step changes with the ERP or even with the growth assets. It's -- they're running at a pretty optimal level. Where we got to get them is their utilization up to staying in the '80s and cresting 85.
Operator: Your next question comes from the line of Frederic Bastien of Raymond James.
Frederic Bastien: I know a priority of yours is to delever and bring down your debt-to-EBITDA ratio to within 1.5x by year-end. But do share buybacks re-enter the picture with your stock price trading below $30 right now?
Joe Lambert: It's certainly always a conversation point, Frederic. It's -- we're -- how do you measure the return. It's a risk-return discussion with the Board all the time. I would say that the return on the debt is high with us hitting our highest rates. And obviously, the risk when you pay down debt is zero. So we're comparing that against risk versus return on where you think your share price should be fairly valued. And then even looking at our growth, we'll still look at bolt-ons and smaller stuff this year. If there was a bigger project go M&A opportunity, we'll still have the discussion but it likely would never -- not have an effect on this year because they're usually like MacKellar was 2.5 years. But we'll still look at any opportunities for vertical integration, even growth capital and winning some of these bids where we might have to add some fleet and balancing those risk versus returns with our base case of deleveraging and our share price. And yes, there is a share price. I like to get these things to a solid metric and there'll be something we'll work with the Board in our Board meeting next month to say at what price do you switch, be it share price or what return on a growth opportunity, would we switch those deleverage dollars into growth capital or share buybacks. And we expect to set those with firm numbers and have a clear understanding.
Operator: Your next question comes from the line of Adam Thalhimer of Thompson Davis.
Adam Thalhimer: Congrats on the record Q1. Is it too early to give high-level thoughts for the oil sands demand in the next peak season? I'm thinking about this Q4 and the next year's Q1.
Joe Lambert: Yes. I mean we generally don't see our winter reclamation scopes until September or so, October. And so it's hard for us to gauge the winner programs. And they've varied our win and work. If you go back over the last 4 or 5 years, our win work has been in our small truck, like reclamation work has been high as $80 million in a winter with small truck works to as low as 20%. And we've seen that kind of volatility in the winter scope works. As far as the bulk work and the base overburden, we see that being steady or growing. This year's reductions were a bit of a surprise in scope. But generally, we think that's more of a deferral than an elimination. And I expect volumes and demand in big earthworks in oil sands to increase next year. But I don't have that scope. And again, we've got a 3-year contract but it's being awarded in 1-year terms. And I would expect to see next year's volumes, I'm guessing sometime between July and September of this year for us to tender on for next year.
Adam Thalhimer: Okay. That's perfect. I know that's a hard question to answer but there were so many moving parts last year. So -- and then in Australia, so you've called out weather from MacKeller for a couple of quarters, even though the results have been really strong. I'm just curious -- as I think about the year-over-year comp for MacKellar, how much was weather an impact in Q4, Q1?
Jason Veenstra: Compared to the previous year or...
Adam Thalhimer: No, sorry, I'm thinking...
Joe Lambert: They had significant cyclone activity in Queensland in both Q4 and Q1, especially January and February. So they incurred a pretty wet year. And when you get a lot of rain there, roads actually start getting shut down and you can't get supplies into mine sites. It's generally not the mine site's ability to operate as far as operators get in truck, it's getting supplies and people to the site because massive rains have cut off road access and that can last for a week at a time kind of thing.
Adam Thalhimer: Yes. And I guess I'm just thinking because of the weather, MacKellar, even though the results were good, they actually had easy comps. Because of the way in Q4, Q1. Is that fair?
Joe Lambert: We would typically expect less weather-related disruptions than what we had this year. Usually, it would be more December, January centric and we actually had November, February kind of impacts as well.
Adam Thalhimer: Okay. And then the high end of the revenue guide, what would have to happen for you to trend more towards the high end?
Joe Lambert: I'd say getting a lot of summer work in the oil sands this -- in the next few months and getting a big winter program that starts early and picking up something like that iron ore mine in Quebec work.
Adam Thalhimer: Okay. Well, good luck with that. We'll talk to you in a few months.
Joe Lambert: There's a lot of moving parts right now and that's for sure but...
Operator: Your next question comes from the line of Prem Kumar [ph], an individual investor.
Unidentified Analyst: A couple of questions on capital allocation. In the previous gentleman asked about buying back. My questions are on the same line, especially considering where the shares are trading and how reasonable the price is. So free cash flows of expected range for the year is around $150 million to $185 million. After -- I'm assuming even after we hit the leverage target of 1.5 and paying the dividend, there will be still quite a bit of money left on the table. How high are buybacks are on the list for this incremental capital, I guess.
Joe Lambert: Like I said, right now, our default is to pay down debt because of the higher rates. But we're going to evaluate at whatever point in time and where the share price is. I'd also say we have more opportunity as we get later in the year just because we're so -- we're very back weighted in our free cash flow. So the bulk of that free cash flow comes in, in Q3 and Q4. And so that's really when we have more flexibility. And at this point in time, we're looking at -- we consider all those options. We consider M&A growth opportunities. We'll look at increasing dividends. We'll look at share buybacks. And everything is going to play on a balanced playing field of risk versus reward. And those are discussions we have at every board meeting.
Unidentified Analyst: Okay. Can you maybe talk a little bit about the acquisition landscape like M&A in terms of is there a pipeline of companies that you kind of keep a look on and how are the valuations and just the landscape in general and the geography, maybe you working morely in Australia, Canada, other geographies? Or can you give a bit more color on that Joe or Jason.
Joe Lambert: Yes, I think there is always opportunities. Again, with low share price and things like in these positions, it's very hard to find accretive deals. But certainly, if there is another MacKellar deal like available, we would certainly pursue it. We are predominantly focused in North America and Australia now but we've also considered South America as a potential, in particular, Chile. So if there was an opportunity there, we do see that market as having become more stable and having some growth opportunities going forward, especially with their strong copper and gold markets down there. So we keep an eye out for those. And if the opportunity comes, it's another deal that's highly accretive like that, we will certainly pursue it. It likely -- like I said earlier, they don't develop overnight. They're usually 1.5 years to 2.5-year kind of processes. So we really wouldn't have expected anything even if it was on our desk today to affect anything this year.
Operator: Your next question comes from the line of Karthi [ph], a private investor.
Unidentified Analyst: Thank you so much for this conference call. It's been a fantastic run with you folks so far. Just had a question when I look at Joe's letter, he's mentioning about the contracts becoming more about time and material. So just wanted to understand what is the implication on your EBITDA margin or any of those margin metrics that you want to talk of when you move towards contracts which are more of time and material in nature.
Joe Lambert: Yes. I was in particular, I think I went into even more detail on the year-end stuff that the -- the work in the oil sands that was typically more weighted towards unit rate work and unit rate work, we got paid a fixed price per BCM material or set unit of material we move but we were all the operating productivity and weather risk. We have a lot more equipment rentals, maintained rentals maintained and operated rentals and time and material work than historical. I'd say just rough numbers historically, we were probably 75% unit rate work. Now we're probably more like 25% to give you a scale of things. And when you go into the rental side and it actually -- we don't have the longer-term commitments and we don't have the upside potential but we're also going to have the downside potential. So typically, what you're going to see is higher EBITDA margins and lower risk. The net margins have been the same. But because you don't have operators, labor in some of the stuff and you're not wearing some of the operating costs, your EBITDA as a percentage of the overall rate is higher. Does that make sense to you?
Unidentified Analyst: Sure, Joe. Thanks for this, very helpful. Thank you.
Joe Lambert: No worries.
Operator: Your next question comes from the line of Tim Monachello of ATB Capital Markets.
Tim Monachello: Yes, just a follow-up here. I'm wondering if you can help us contextualize the guidance range relative to your utilization targets? Like what's embedded in your guidance on the top and bottom?
Jason Veenstra: Well, our -- we're expecting to get -- when we talk about 75% and 85% [ph], we're expecting to be above those marks at the end of the year. So if you want to know how it ramps up, I would just follow how we put the EBITDA split in there and follow that on utilization and with it ending at 75% or 85% [ph] in Q4. So I expect we're ramping up to probably a -- or Q3 peak and then it fairly levels off in Q4 or a slight dip in Q4 but we expect to be right there in that range.
Tim Monachello: Okay. So like the midpoint of your guidance would include you achieving those utilization targets? Is that the right way to think of it?
Jason Veenstra: By the end of the year, yes. So it's not -- we're not going to be at 75% in Q2.
Tim Monachello: Like you won't do 75% on average in Canada in '24?
Joe Lambert: Not on the average, we will get to 75% by the end of the year and we would expect to be able to hold that through next year.
Operator: No worry. Your next question comes from the line of Phil Goodrich of Goodrich & Company.
Phil Goodrich: So the tax rate gets -- seems to move around a fair bit. What could you say just for modeling purposes, a reasonable nominal run rate for taxes would be? And how much would you call out as the cash tax versus deferred?
Jason Veenstra: Yes. Great question. We're at about 30% in Australia, 25% in Canada. So you could use a modeling rate of 27.5% if you wanted to put it blended. And about half of that is cash taxable. Australia is cash taxable given their history and their -- they don't carry loss, carryforwards in the Australia regime maxes out their tax depreciation. So we do pay cash taxes in Australia but we don't have any cash taxes in Canada this year. We expect to pay some cash taxes in Canada in 2025.
Phil Goodrich: Okay. And just review -- I know you're a different beast in your word fix or 9 months ago. So help me understand the seasonal pattern that we should see play out quarter during -- over the course of the year.
Joe Lambert: It's -- I guess, it's a unique year. We would expect when we get into next year, we're going to be a lot more consistent quarter upon quarter because of the transition and the way the contract was awarded to equipment movements in oil sands, we're actually -- Q1 is our low this year and we ramp up to a Q3 and with a slight drop in Q4. And we've provided quite a bit of information around 45% in front half of the year, 55% of our EBITDA in the second half -- and then I'd say that going forward in 2025 and I don't have those exact numbers but my expectation is that it's a lot more consistent quarter-from-quarter and we're not going to see 10% variances between quarters. We're going to be seeing single digit.
Phil Goodrich: Great. Thanks. So pet the picture of long-term capability growth capability for the company going over a number of years. And clearly, you have some vision to this, especially given your large backlog. How do you see the company being able to grow organically and whatever tuck-ins you have in mind over the next 4 or 5 years?
Joe Lambert: I think most of our tuck-ins, like when we vertically integrate are more about reducing our internal cost by in-housing our maintenance. So that really -- what I would say is our growth opportunity, I've always said that I think there's 5% to 15% annual growth in our marketplaces. And if you look at the first 20% or 30% of that, we can pretty much cover with existing assets by increased utilization of existing assets. Now obviously, those usually come with some growth capital. So I'll give you an example where we're looking at possibly placing some assets in Australia and a long-term contract, it's not just equipment we have. We have to actually go out and look at a few shovels that would complement the fleet as well. So it's not -- we don't have everything all the time. We have to add -- and like Jason said, we added $20 million in growth capital so far to meet the demands in the Australian marketplace. So you would get that kind of growth additions into that just by utilizing the fleet. But certainly, that first 20%-odd [ph] of growth we think we can do with existing assets and some minor top-up on growth capital.
Phil Goodrich: So planning on your plate now as you continue to work in MacKellar. So how long do you feel it takes to digest all of that and the plate is now empty and you're ready for something significant again at one point in the future.
Joe Lambert: One thing I'd say is very pleased in that we had the bench strength to place an integration team and change out leadership at Nuna all within the last 6 months. And I don't -- the business has been able to absorb that and not miss a beat on performance. And so I'm very comfortable with that going forward that we've got the people in place. We've got a lot of things going on. We're going to turn around at Nuna and we're doing the integration in Australia. But I think the people are there and very comfortable with the way they're performing that. I don't see a lot of anxiety of that. If something else came up. Our plate isn't empty and nor do I are expected to be fully empty. But if something came up and there is a good opportunity, we wouldn't shy away from it because we don't have the resources. We have capability to do that.
Phil Goodrich: Except for the balance sheet. So I presume that's the principal limiting factor here?
Joe Lambert: I guess if we were to look at a debt funded MacKellar tomorrow but they don't happen at that speed. If it's -- it happens at the same speed at MacKellar did and it's 2 years from now, I'd be very confident we got the balance sheet by the end of this year, frankly, to start looking at bigger things like that.
Operator: This concludes the Q&A session of the call and I will pass the call over to Joe Lambert, President and CEO, for closing comments.
Joe Lambert: Thanks, Enrico. Thanks again, everyone, for joining us today. We look forward to providing next update upon closing of our Q2 2024 results.
Operator: Thank you. This concludes the North American Construction Group conference call on Q1 2024.